Operator: Good day, ladies and gentleman and welcome to the Cabot Microelectronics Second Quarter and Fiscal 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over Trisha Tuntland, Director of Investor Relations. Please go ahead.
Trisha Tuntland: Good morning. With me today are David Li, President and CEO, who is participating in our call from our office in Shanghai, and Bill Johnson, Executive Vice President and CFO. This morning we reported results for our second quarter of fiscal year 2016, which ended March 31st. A copy of our earnings release is available in the Investor Relations section of our Web site, cabotcmp.com, or by calling our Investor Relations office at 630-499-2600. A webcast of today’s conference call and the script of this morning’s formal comments will also be available on our Web site. Please remember that our discussions today may include forward-looking statements that involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from these forward-looking statements. These risk factors are discussed in our SEC filings, including our report filed on Form 10-K for the fiscal year ended September 30, 2015. We assume no obligation to update any of this forward-looking information. Also, our prepared remarks this morning reference non-GAAP financial measures. Our earnings release includes a reconciliation of non-GAAP financial measures. I will now turn the call over to David.
David Li: Thanks, Trisha. Good morning, everyone, and thanks for joining us. During our second quarter of fiscal 2016 we made significant progress on a number of strategic initiatives, notably in pads, dielectrics slurries, and slurry and pad consumable sets, although our financial results reflect continued soft semiconductor industry demand conditions. This is consistent with our comments last January when we reported results for our first quarter, and also during our Annual Meeting of Stockholders on March 8th. As we mentioned in our press release, we continue to expect stronger demand in the second half of our fiscal year, and through the first month of our third fiscal quarter, orders for our CMP consumables products have notably strengthened. Later, Bill will provide more detail on our orders to date in April. During the quarter, we reported revenue of $99.2 million, a gross profit margin of 47.3% of revenue, and diluted earnings per share of $0.37. Excluding amortization expense related to the NexPlanar acquisition, our non-GAAP gross profit margin was 48.4% of revenue, and non-GAAP earnings per share were $0.41. We generated strong cash flow from operations of $25.4 million and paid our first quarterly cash dividend on April 15th. To provide some context for our second quarter results, let me first offer some perspectives on the global semiconductor industry environment. Early signs in 2016 indicate that the PC market has still not stabilized. For the first quarter of the calendar year, Gartner reported that worldwide PC shipments declined nearly ten percent from the first quarter of 2015, representing the sixth consecutive quarter of PC shipment declines. Exiting the March quarter, some reports suggest that NAND and PC DRAM device inventories appear to still be in moderate oversupply due to this soft PC demand. Despite the continued soft outlook for PC demand, there are expectations for growth during the year in the smartphone, wireless network, automotive, and gaming markets. Industry reports and comments made recently by some of our strategic customers suggest that most IC inventories related to these end markets are currently at normal seasonal levels. This is likely due to semiconductor device manufacturers reducing capacity utilization and output to actively manage inventories in the supply chain. Also, reports indicate that the earthquake that occurred in Taiwan on February 6th caused some disruption in production and also damaged some inventories. In addition, industry news indicates that the earthquakes in Japan during mid-April may have impacted elements of the semiconductor industry supply chain. Our facilities were not impacted by these events in Taiwan and Japan. Looking ahead, based on all of this, some of our customers and industry analysts are forecasting stronger semiconductor industry demand in the June quarter compared to the March quarter, and mid single-digit growth for the full calendar year. Their general view appears to be that demand will be driven by inventory replenishments, preparation for new product launches, and the fulfillment of delayed shipments as a result of the earthquakes. This would suggest above normal seasonal growth during the June period, and as I mentioned, we are seeing stronger demand for our CMP consumables products through April. Now let me turn to our IC CMP consumables business, starting with pads. This quarter we continued the successful integration of our NexPlanar acquisition. Our total pad revenue was approximately $12 million this quarter, including approximately $5 million from NexPlanar. As a result, revenue from our CMP pads area grew 35% year-over-year. Our new global Pads team combines elements from NexPlanar and our original organization, and we are already beginning to see benefits of combining research and technical resources, and leveraging our global infrastructure, supply chain capabilities and quality systems. In particular, we are utilizing our global sales channel to broadly introduce NexPlanar pads around the world. Recall that NexPlanar had specifically focused its efforts on winning advanced applications with a limited number of technology-leading customers, and was successful winning supply positions with six of the top 10 semiconductor manufacturers in the world. But now, as part of our company, we can leverage our global reach to significantly expand opportunities, including both 200 and 300 millimeter platforms. In addition, we have been delighted by the speed of qualification of NexPlanar pads, and have observed several evaluations where we qualified in less than six months, which is far shorter than our previous experience of 18 months or longer. We attribute this difference in qualification time primarily to the ability of our customers to more easily transition the NexPlanar thermoset product into their existing high volume operations while also achieving superior defect performance. As a result, we won new business during the quarter with both existing and new NexPlanar pad customers and in particular, opportunities where we have displaced other providers at Korean memory and Asian foundry customers. Furthermore, since closing the acquisition, we have expanded our pipeline of new business opportunities, including combined slurry and pad consumable sets. Today, we have a sizeable number of active evaluations in various stages of qualification. We continue to view pads as our most significant growth opportunity for our Company, and expect to achieve revenue from our pads product area of around $70 million to $90 million in fiscal 2018, which we have previously discussed. Turning to CMP slurries, during the quarter we advanced customer adoption of our new, colloidal silica-based dielectrics slurries, which we believe provide best-in-class defectivity performance. In particular, we expanded prior wins into additional fabs at a number of technology-leading customers, and also won new business with slurry and pad consumable sets. We expect that demand from these wins, as well as opportunities we won several quarters ago, will gradually increase through the rest of the fiscal year. In addition, we have a strong pipeline of active opportunities around the world covering logic, memory and foundry customers, on both 200 and 300 millimeter platforms. In addition, during the quarter we made notable progress with our advanced ceria platform for dielectrics applications with leading memory customers. In the past, most of our discussion has centered on our new colloidal silica-based dielectrics slurry products, but we also have been focused on developing and refining our family of dielectrics products using ceria as the abrasive particle, which are primarily targeted toward certain CMP applications for memory devices. Similar to our other solutions, customers are seeing higher removal rates and improved defectivity. As a result, we won business with one technology leading memory customer over competitive offerings in two regions this quarter, and are engaged with a number of others on opportunities with our ceria-based slurry and pad consumable sets. We expect that both our colloidal silica and ceria-based dielectrics slurries will be sources of profitable growth for our company over the next several years. Turning now to tungsten, we continue to support our strategic customers in the early production of 3D memory and FinFET for advanced logic IC devices. Both of these applications require additional CMP steps, in particular tungsten, which we believe will continue to drive profitable growth for our company as these technologies are more broadly adopted overtime. Related to this, we have seen sustained revenue growth from our tungsten products, which underscores our continued leadership in advanced and legacy tungsten applications. In March we were honored to have again earned Intel’s most prestigious award for suppliers, the Supplier Continuous Quality Improvement Award, for the fourth consecutive year. Notably, we were recognized as one of only eight companies, out of thousands of suppliers to Intel, for our performance in 2015. We are proud of this repeated recognition, and also of the awards we have received from other customers over the years. We believe these awards are evidence of the unique value we provide to our customers through technology, world class operations and quality systems and infrastructure, and our close relationships with our customers. To summarize, we are excited about our progress on several strategic initiatives including pad growth through NexPlanar, dielectrics, and continued strength in tungsten, which along with the improving industry environment, should position us well for a strong second half of our fiscal year and build on our foundation and momentum for profitable growth into the future. We also will continue to monitor opportunities to strengthen and expand our business through a variety of other means, that could provide additional value to our shareholders. And with that, I will turn the call over to Bill for more detail on our financial results.
Bill Johnson: Thanks, Dave, and good morning everyone. Revenue for the second quarter of fiscal 2016 was $99.2 million, which represents a 5.4% decrease from the same quarter last year. Our second quarter revenue reflects continued softness in demand within the global semiconductor industry, continued soft demand for PCs, and competitive dynamics within data storage applications, all of which we have previously discussed. Year-to-date, revenue of $199.6 million represents a 7.9% decrease from the prior year. The decrease reflects similar factors as in the second fiscal quarter, as well as competitive dynamics in certain dielectrics applications that we have previously discussed. Foreign exchange rate changes reduced year-over-year revenue by $1.1 million in the quarter, mainly due to the weaker Korean won versus the U.S. dollar, and by $2.5 million in the first half, primarily due to both the weaker won and Japanese yen. Drilling down into revenue by product area, tungsten slurries contributed 44.2% of total quarterly revenue, with revenue up 0.5% from the same quarter a year ago. We continue to see strong demand for our tungsten slurries for advanced applications, including 3D memory and FinFET, and as Dave mentioned earlier we expect this to be a strong driver for future profitable growth. Dielectrics slurries provided 23.9% of our revenue this quarter, with overall sales down 0.9 % from the same quarter a year ago. During the quarter, we saw the impact of soft foundry demand mostly offset by revenue growth from some of our new, high-performing colloidal silica-based dielectrics slurry products, in conjunction with our transformation of this product area, and also the advanced ceria-based products, that Dave discussed. Sales of slurries for polishing metals other than Tungsten, including copper, aluminum and barrier, represented 14.3% of our total revenue, and decreased 22.6% from the same quarter last year. We believe this decrease was primarily due to soft demand from the foundry segment, and repurposing capacity for the next technology node, particularly with respect to our aluminum slurries, which is an industry transition we have been discussing for several quarters. Sales of our polishing pads, which include our NexPlanar acquisition, represented 12% of our total revenue for the quarter, and increased 35.1% compared to the same quarter last year. We expect the NexPlanar acquisition will accelerate growth in our pads product area, and we are encouraged by the customer response and wins to-date. Finally, revenue from our Engineered Surface Finishes area and data storage products represented 3.8% and 1.8% of our quarterly revenue, respectively. Our full fiscal year 2016 GAAP gross profit guidance range of 49% to 51% of revenue, including NexPlanar, remains unchanged. Gross profit for the quarter was 47.3%. This reflects $1.1 million of NexPlanar amortization expense. Excluding this amortization expense, non-GAAP gross profit was 48.4% of revenue, compared to 52.1% of revenue we reported in the same quarter a year ago. Other factors impacting gross profit this quarter compared to last year include lower sales volume and higher fixed manufacturing costs, including NexPlanar costs, partially offset by lower incentive compensation costs. This quarter we incurred some staffing related costs that are typically associated with the first quarter of the calendar year, and are generally transitory. Year-to-date, gross profit was 48.6% of revenue, which includes $0.7 million of acquisition-related costs and $2 million of amortization expense related to NexPlanar. Excluding these costs, non-GAAP gross profit for the first half of the fiscal year was 50% of revenue, compared to 51.5% last year. Now I’ll turn to operating expenses, which include research, development and technical, selling and marketing, and general and administrative costs. Operating expenses this quarter of $34.6 million include $0.5 million of NexPlanar amortization expense. Operating expenses were $0.6 million lower than the $35.2 million reported in the same quarter a year ago. This reflects lower staffing related costs, including incentive compensation costs, and the absence of costs associated with last year’s CEO transition, partially offset by NexPlanar staffing costs. Year-to-date, total operating expenses were $70.4 million, which includes $2.1 million of NexPlanar acquisition-related costs and $0.8 million of amortization expense. We are lowering our full fiscal year guidance range for operating expenses to $139 million to $143 million, including NexPlanar, this is $2 million lower than our prior guidance range of $141 million to $145 million, and $4 million lower than our original guidance range. Diluted earnings per share were $0.37 this quarter, or $0.41 on a non-GAAP basis, excluding amortization expense related to the acquisition, compared to $0.55 reported last year, primarily due to lower revenue and a lower gross profit margin. Year-to-date, diluted earnings per share were $0.83 cents, or $0.98 cents on a non-GAAP basis, compared to $1.36 last year. Our effective tax rate for the second fiscal quarter was 21%, and 18.1% year-to-date. We continue to expect our effective tax rate for full fiscal year 2016 to be within the range of 18% to 21%, including NexPlanar. Turning now to cash and balance sheet related items, our cash flow from operations was strong this quarter, at $25.4 million. Depreciation and amortization expense was $6.5 million, including approximately $1.6 million of amortization expense related to NexPlanar. Capital investments for the quarter were $5.2 million, bringing our year-to-date capital spending to $10.3 million. For the full fiscal year, we currently expect our capital spending to be within the range of $17 million to $20 million, including NexPlanar. Previously, we had indicated a range of $15 million to $20 million. In addition, we purchased $15.0 million of our stock during the quarter under our share repurchase program, and have purchased $25 million year-to-date, leaving approximately $135 million of authorization remaining. We ended the quarter with a cash balance of $226.4 million and have $159.7 million of debt outstanding. On April 15th, we paid our first regular quarterly cash dividend of $0.18 per share, or approximately $4.4 million in total, reflecting our ongoing focus on providing additional value to our shareholders. Now I would like to offer a few comments on recent revenue and order patterns. During the second fiscal quarter, we saw a 1.1% decrease in revenue compared to the first quarter of fiscal 2016. Within the quarter, revenue in January and February was even at approximately $32 million in each month, and revenue in March increased to approximately $36 million. Earlier, Dave talked about industry expectations for stronger demand in the June quarter, and reminded you of our own expectations for stronger demand in the second half of our fiscal year. Consistent with that, orders to date in April for our CMP consumables products are trending approximately 6% higher than the average rate in our second fiscal quarter. To summarize, from a financial standpoint, as we think about full fiscal year 2016, we expect stronger demand in the second half, we are maintaining our gross margin guidance for the full fiscal year at 49% to 51% of revenue, despite the softer gross margin we just reported, and we have reduced our guidance for operating expenses for the full year by another $2 million. Now I’ll turn the call back to the operator, as we prepare to take your questions.
Operator: Thank you. [Operator Instructions] And our first quarter comes from the line of Edwin Mok of Needham & Company. Your line is now open.
Edwin Mok: So first question I have on gross margin. I think Bill you’re comparing margins to stay even lower volume was a big driver for that. But can you maybe give us a little more color, did you see any top pricing pressure as a result that lower volume or any kind of mix change I think your patenting that we have seized register a year ago and I think last year every quarter including the fiscal first quarter you had over 50% gross margin. I was just trying to understand what drove the big changing gross margin that total compared what we’ve seen in the last six quarters?
Bill Johnson: Right, sure. And so first from a year-over-year standpoint, there are two significant factors, the largest was higher fixed costs and that was largely related to the addition of NexPlanar. In the year ago quarter, we didn’t have NexPlanar, so we had a full quarter, in the second fiscal quarter compared to the prior year of NexPlanar costs. Then the other the second largest factor year-over-year was lower volume just on 7.9% lower revenue capacity utilization effects caused volume effects to reduce gross margin as next the largest factor. We had some other factors kind of pluses or minuses, but nothing else real significant those where the two largest factors by far. If you think about sequentially, we were down sequentially and we had several factors there. There is an element of seasonality that you look in the last, the history of our company in the last 10 or 11 years, I think every year, but fiscal ’13 and ’15, we’ve had a sequential reduction in gross margin in the March quarter, so historically seasonally weak in terms of gross margin. We also had a full quarter of NexPlanar costs recall that we closed the NexPlanar acquisition in late-October. So we had a full, this is the first quarter fourth quarter of NexPlanar staffing costs. There is another factor that goes into fixed manufacturing costs and it’s a phenomenon, we’ve seen before and our second fiscal quarter which is the first quarter of a new calendar year and in the U.S. that since to bring higher staffing costs for us and some of this is transient. But we have about half of our workforce in the United States and so in a fresh calendar year we restart payroll taxes, social security, unemployment tax, vacation accrual things like that. Such that we see a pretty significant increase in fringe related costs in the first quarter, in the first calendar quarter that typically then doesn’t persist. And we saw that here, that was the higher fixed cost around the order of 1% on gross profit margin erosion, so that was another factor. We had some other factors mix was a small adverse effect as you saw the higher pads percentage of our business tungsten held up some left in mills other than tungsten and higher dielectrics. So there is a mix effect and then we had several smaller effects pricing was a small effect, foreign exchange was a small effect. You had some pluses or minuses there, but sequentially and year-over-year, sequentially the biggest factors where the fixed costs and then this product mix effect.
Edwin Mok: Okay. Yes, go ahead.
Bill Johnson: Yes. I haven’t said that though so I want to remind that we’ve reconfirmed guidance for the full fiscal year at 49% to 51% of revenue with the expectation of stronger than in the second half of fiscal year we would expect to have stronger gross margin to accompany that.
Edwin Mok: And second question I have particularly regarding NexPlanar, so it sounds like you guys have good traction growth of NexPlanar saw the product right and I think Dave mentioned given that it probably have taken our civil set procedure for customer to transition there. And I know you can’t give us some income mix or view in terms of how much your pad business is now NexPlanar versus Cabot's got thermoset kind of your traditional thermoset product and are you seeing come closer growth coming from the thermoset product or is this thermal plastic product stable declining any kind of color you can provide on that?
David Li: Yes, Edwin. First it's been a really exciting few quarters since the acquisition and you've seen the growth in our results and we can definitely feel the increase in customer pull for the technology and it is primarily coming from the NexPlanar technology and as we mentioned this quarter we also felt more comfortable talking about some of the wins we've been able to achieve with some really important customers in the Korean memory and Asian foundry areas and one of the things that has been a real paradigm shift for us which is this faster qualification time along with the performance benefits the customers are seeing we’re seeing qualifications evaluations that are completed in less than six months so that's very different than what we've seen before and we attribute that to the closeness of the thermoset technology, customers are able to drop it in much more quickly. There is also an aspect of NexPlanar that allows faster iterations so just the overall customer experience the customer qualification time has been really good and overall we are really pleased, we are preparing for significant growth in the pads area and obviously we will continue to update our progress. I think we mentioned the split of pad revenue too right Bill you might provide?
Bill Johnson: Yes total pad revenue is around $12 million of which around 7 was from the legacy CMP pads the epic pads and five was NexPlanar. The legacy CMP pad revenue has been pretty constant the last three quarter and then we added NexPlanar of course starting in October.
Edwin Mok: Okay, great extremely helpful. Last question I have on the order trend can you remind us in your commentary directly you said that your orders in the month of April is upfront 6% compared to average for the second quarter but in the March you mentioned that you will have $36 million so if I look at the numbers it actually got flattish to March just trying to kind of reconcile that is it just a month to month lumpiness with that or should we read too much into it and as you look beyond what you have booked in April are you seeing comp further strengthening on your order as you get into May and June?
David Li: Yes, so the -- a lot of times when we talk about revenue we don’t give much color within a quarter because revenue is relatively flat tends to be relatively constant month-to-month. In this case we had around $32 million in each of January and February but then in March $36 million so we started to see some strengthening in March and so overall $99.2 million of revenue in the second fiscal quarter and then through four weeks of April we’re seeing orders for CMP consumables up about 6% versus the average of that first fiscal quarter sorry second fiscal quarter. But we’re mixing things a little bit we’re trying to give within the quarter visibility and that CMP consumables orders we are not talking about monthly revenue it’s revenue for the total company which also includes QED and some other smaller product lines. But I think it is important to note that yes March was much stronger than what we saw in January and February and in April orders for CMP consumables appear to maintain that kind of pace that we saw in March.
Bill Johnson: And Edwin just to add some color to that from the industry standpoint you are close to the industry obviously but PCs are still haven’t recovered so there is really we think there is some underlying demand from the other segments like automotive, Smartphones and just general inventory replenishment that's happening we mentioned the earthquakes especially in Taiwan there may have been some ketchup because some of the chip inventories may have been damaged so there might have been some ketchup in March and April timeframe and then from the leading edge standpoint 3D and FinFET were in great positions there but they are still very early in the ramp. So that's kind of from the industry standpoint from our vantage point.
Edwin Mok: Okay, great. Actually I am going to squeeze one in on the dielectrics win that you mentioned on the call you said you won the lead customers on a competitive strategy is that for call it a NAND product or it was something that is running at current it is the other way said but newer generation like 3D, NAND or whatever Linux DRAM they have not been production yet so I'm so I am trying to update if that is all between and it is going start with revenue contributing now or is it more like the ’17 timeframe and may be you can help disclose if that was what DRAM was in?
Bill Johnson: Sure. So you’re talking about the ceria dielectrics win that we discussed, right.
Edwin Mok: Yes.
Bill Johnson: So first, we haven’t talked a lot about ceria, but it’s a sizeable market opportunity as you know it’s primarily for memory. And it’s actually an area that we’ve been working on for a while and have had products in the market with commercial success. But we just wanted to provide some more color to some of our newer products and when you talked about where we displaced replace an alternative products with our ceria -- one of our newer ceria products and that the customer is ramping in two of their facilities. So we are really excited about that it, I wouldn’t want to comment too much more about the specifics, but we’re excited about both of our, both the colloidal and ceria we think we’ve got two growth engines there in dielectrics and really encouraged by what we’re seeing so far.
Edwin Mok: So is it something that is in production or it is not something that given their R&D lapped and the at least I am just trying to make sure I hopefully understand that?
Bill Johnson: That’s right. That’s right.
Edwin Mok: Okay. Great, that’s all I have. Thank you.
Trisha Tuntland: Thank you, Edwin. We’ll take our next question please.
Operator: Thank you. The next question comes from the line of Chris Kapsch of BB&T. Your line is now open.
Trisha Tuntland: So I had a follow-up on just I guess the mix both in the quarter and maybe what you’ve seen so far into the June quarter. So everybody knew that there is a soft industry conditions obviously. But from what I’ve gleaned it seems as though, that weakness has been buffered by maybe demand and you pointed out David and maybe in automotive and perhaps maybe more on a smartphone, maybe there are dumber smartphone, some of the less sophisticated smartphone. So I’m just wondering if that showed up in your product mix. In other words demand for products that are used at older more mature legacy nodes, vis-à-vis the most advance nodes. Is there any way for you to discern I guess in fact what you saw as the mix of the demand being skewed more towards, more mature technology nodes?
David Li: I’ll just make a general comment what we’ve seen is. We have seen continued strength from what I’d call the lagging edge technologies and I think a lot of that is Internet of Things, Automotive. Those that don’t require very-very advanced CMP solutions, but we’re supporting those as well. But also from the leading edge, I’d split it put into two areas. For the logic side, ’16, ’14 since that, I still think those ramps are going slowly. For 3D right now, we’re in really early stages with only one real producer in high volume and that’s Samsung and Xian. But if you look at, what’s happening on the equipment side of it, you see a significant intake of equipment that is geared towards 3D. So we look at that as sort of, I look at that as a second half of the calendar year and beyond ramp, but not so much of an impact so far.
Chris Kapsch: Okay. So the order that you’ve seen thus far in April are consistent with the kind of product mix or technology node mix that you’ve seen maybe in the first half for the fiscal year is that a fair way in other words the 3D NAND adoption not moving to needle yet?
David Li: Yes. I think through April, we wouldn’t have a specific visibility on that just two to four weeks until we get through the end of the month. But I don’t think, we’ve seen any significantly different trend than what we would have seen coming out of the second fiscal quarter.
Bill Johnson: Chris one of the things we mentioned last time or it was we have a pretty significant portion of our tungsten revenue from those advanced technologies both FinFET and 3D, I think we mentioned 13% in fiscal ’15. And from the industry side of things, it’s really still that one major player out there in high volume so far, but with the others in various stages of ramping up, so still very early in that technology.
Chris Kapsch: And then I had a couple of follow-ups on the pad business too. So I think if a parse those numbers that you provided with NexPlanar’s, the addition NexPlanar. So it looks as though your, the legacy pad business might have been down year-over-year like 20%. So I’m just wondering is -- and I understand the enthusiasm over the NexPlanar adoption and the cadence of wins there. But is the legacy pad businesses that looks like it’s a number that worse than perhaps the industry. So I’m just wondering if have we taken a step back in terms of the relevance or applications for those pads or is it really just the industry weakness that’s affecting, the revenues of those the D100 to D200 pads?
Bill Johnson: So our organic pads of D100, D200 they continue to be a really important part of our portfolio in fact on the consumable set side there was -- we made some progress including with D100, D200 this quarter so the pipeline continues to be strong for those products, what I would say is as you know those products are primarily they are very strong in the foundry side foundry was very soft and then there was also some additional efficiencies where customers continue to extend the pad life as well so those were we believe the most significant aspects of why the organic pads were down versus previous.
Chris Kapsch: Okay. And then you mentioned the six month qualification time and how that's accelerated versus your experience with the alternative technology. Just wondering if that six month timeframe is that accelerated vis-à-vis what NexPlanar was experiencing on their own in other words is there some accelerated top line synergy here for Cabot Micro to -- for NexPlanar to be part of a Cabot Micro and with in other words with the company that had bring in more resources into the CMP tools and kind of that?
Bill Johnson: We expect so Chris as you know we've talked about this as a $79 million to $90 million business by 2018 but from the qualification time aspect there is a technology piece which is their thermoset technology is easier to qualify. And so they are also able to do faster iteration I think what we are adding is the operational and quality excellence we mentioned we've got the Intel award again this year and also just leveraging our global sales channel they were very focused on a very limited set of customers so having the ability to leverage our sales channel has also been very helpful not only to speed the qualification time but to also expand where we’re trying to win positions with the technology.
Chris Kapsch: Okay. And then just finally the -- sometimes when the chip industry conditions are soft there is a silver lining in that it tends to free up total time for qualifications just wondering if this Malays for the industry have you seen any discernible pick up in the number of qualification opportunities that may translate into commercial wins later down the road? Thanks.
Bill Johnson: We have Chris but I'm not sure if it's the industry low utilization or we’re going out there to market with some really different products in dielectrics we also have advanced products in tungsten and then we have the addition of NexPlanar so we are -- there is a lot of exciting opportunities in the pipeline and I think the -- if there is lower utilization that's always helpful but we’re seeing a lot of opportunities in our pipeline for those new products.
Chris Kapsch: Thank you.
Trisha Tuntland: Thank you, Chris. We will take our next question please?
Operator: Our next question comes from the line of Amanda Scarnati from Citi. Your line is now open.
Amanda Scarnati: First on China and the opportunity that Cabot has in China. China is expecting to grow its semiconductor business considerably and with these out in China I think tapped it very well position there. Are you seeing any competitive pressure from internal China, Chinese companies developing slurries and pads or is there a really strong opportunity for Cabot to pick a significant market share as China expands its manufacturing capabilities?
David Li: Right, so I am calling in from Shanghai and we are excited about what's happening in China. China is in an area where we have a very strong position already and I think that's because the domestic customers in China are trying to accelerate up the experience curve and catch up with leading edge technology players and they know our products are used in just about every advanced technology node so they are really interested to work with us so we have had really good relationships with those customers and strong positions for a long time and I expect that to continue. And then the other aspect of China which is there is a lot of inbound investment Samsung putting a fab in TSMC, UMC and in than those customers we also have very strong relationships and sometimes their technology is directly transferred from Taiwan or South Korea or the U.S. so there we also have a very strong position so China is one we continue to watch very closely but we feel we are really well positioned to grow with China in the future as they grow as well.
Amanda Scarnati: And then just another question on kind of growth trajectory of 3D NAND it has been touched on a little bit but is the expectation more of calendar to have ’16 where we should start to really see that ramp in 3D NAND growth or is it more towards calendar ’17 where those anticipations now versus where they had been previously?
David Li: I probably -- this is just my own perspective on things I see the same things you do as well, which are equipment sales going into 3D are pretty strong and that’s usually a free courser to they’re ramping up and material sales happening as well. So I look at it as second half of calendar ’16, we’ll start to see more players ramping up in the high volume manufacturing and definitely into 2017 calendar.
Amanda Scarnati: And then the NexPlanar pads as they are well positioned for 3D NAND expansion. Is that correct?
David Li: Yes. We’d say that there are pads and their pad technology can be use across different segments, across different technologies including in memory, we talked about a win this quarter we had in memory. And there are some unique requirements around 3D. I think that plays to our strength. So when there is more difficult technical challenges, we like that. So whether it’s tungsten, dielectrics or pads, we feel like we’re very well positioned to grow with 3D.
Amanda Scarnati: Great, thank you.
Trisha Tuntland: Thank you, Amanda.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Dmitry Silversteyn of Longbow Research. Your line is now open.
Dmitry Silversteyn: A couple of follow-up questions if I may, first of all the 6% of increase you’re seeing in April orders versus the average that you saw in the three months of the March quarter. How does it compare to typical seasonality, is this a stronger recovery that you may be typically see between March and June quarters or is this more or less normal or still a little bit subdued versus the typical seasonality?
Bill Johnson: I think if you, in the last several years, we’ve seen sort of abnormal seasonality, right. Historically in the industry, the March quarter was the weakest, we strengthened in June. September was the strongest and then weakened in December. I think in ’13, ’14 and ’15, we saw a departure from that historical trend. But if you look back the last several years, I think on average we’ve grown around 4% or 5% from March to June.
Dmitry Silversteyn: Okay so it…
David Li: I think from the industry standpoint I think there is a few things happening here. One is there are some new product launches that are planned for the fall, that I think there is build happening now. And then there is also some kind of event driven activity around the earthquakes where there had to be some -- there was some more catch-up because of the damage in the inventory. So it may not be true seasonality, as Bill mentioned we’ve seen a departure from that the last few years, but it just happens to be kind of in the second half of our fiscal year this year.
Dmitry Silversteyn: Speaking of earthquakes you mentioned a little bit of disruption to inventory levels and to productions in some of the, for some of the players in, out in China, I’m sorry in Japan. Three of your larger competitors if you need capacity and I think weekly sales are also Japanese based anything going on there that will meet our culture, and help you in some of the selling into the next couple of quarters if they deal with the aftermath of the earthquake?
David Li: Right. So of course, we wouldn’t comment on competitors, but we’re trying to do everything we can to help our customers that were affected. Our facilities were thankfully not affected by the events in Japan and Taiwan. But I think it’s one of those things where you just look as a leader of the industry what can you do to help and we’ve had some more rush orders come in, we’re just trying to do what we can to help the industry in that context.
Bill Johnson: And if you think more broadly, we have a global infrastructure we have manufacturing facilities in the U.S., Japan, Taiwan, Korea and Singapore none of our competitors have that kind of a worldwide reach. So from a supply insurance standpoint, business continuity planning that we think we’re very well positioned and our customers respect that.
Dmitry Silversteyn: Following up on NexPlanar acquisition, you’ve talk about the kind of the sort of the benefits that it brings to the company, with the global distribution and customer relationship. Anything, you’re learning from the folks at NexPlanar as far as getting to market and getting products separate as you mentioned obviously the adoption timeline is much shorter for their products versus the legacy product. But is there anything else that the NexPlanar team is bringing that causes you to either revaluate or tweak how you go to market with your pad offering?
David Li: Definitely Dmitry, so we talked about this global pads team that we have put together and it’s truly made up of elements from our original pad organization and also the NexPlanar organization. So it’s a combination of those kinds of the best of both teams and we’re certainly benefiting from their experience on how we approach customers. And they are the experts I think where we can add in is our operations and quality systems infrastructure and knowhow and we’re in progress of doing that and then you mentioned the global sales channel. For me, I think this -- the thing that we’re really encouraged about is, we knew the technology was easier to qualify, but having it in our company and seeing those qualifications that are able to be completed in less than six months that's really something that we've been really excited about and seeing from their technology in there that's what we thought going into the acquisition and we’re very pleased with what we have seen so far.
Dmitry Silversteyn: And one last question and we haven’t talked about this for a while but can you update us what's going on with the average selling prices there is a lot of mix movements right now in new product launches and you know versus legacy businesses and older products but if you sort of look on the apples-to-apples basis is this still sort of a steady to slightly up the average selling price market for you?
Bill Johnson: Yes, we haven’t seen any particular departure from historical trends. Over multiple years average selling price has maintained relatively at constant levels and that's across all products so within a product there could be a product roadmap that would offer some customers savings in exchange for long-term commitment or things like that but overall across the business ASPs average selling price has been relatively steady.
David Li: And Dmitry just from the competitive intensity standpoint we feel like it's, we don’t see any changes in the competitive intensity as Bill mentioned we reaffirmed our gross margin guidance so that should be also some indication, but the other thing about ASP is as we move into more concentrated products we’re selling a customer a product that can be diluted many more times ASP is really dependent on what is the product as well but overall pretty much normal historical.
Dmitry Silversteyn: And then just one final question on the gross margin you have given the yen million dollar exchange rate you are benefitting to by about a 47 on your margin from the exchange rates or has that declined a little bit as the yen has strengthened?
Bill Johnson: Well we have really kind of calendarized on that if you look at the average yen last year and this quarter is ¥119 to the dollar and the current quarter that we just completed is ¥118 to the dollar the yen is strengthened recently but it's if you take an average over the quarter not really much of an effect year-over-year.
Dmitry Silversteyn: Okay, but if it continues to strengthen that would be a little bit of $100 in terms of margin I mean obviously we are still reiterating the range but is it likely that we are going to be towards the bottom of that range if we get the yen continuing to in place get close to $100 starting to contract to $1?
Bill Johnson: Well I think it was about 109 today it is something like that and so a stronger yen would yes it's adverse us from a gross margin standpoint but yes we are comfortable with our range and really wouldn’t mind if it takes a spot within that range because there are other things besides foreign exchange product mix capacity utilization that have an impact on gross margin so we just want to maintain the range that we've given.
Dmitry Silversteyn: Fair enough. Thank you, Bill.
Trisha Tuntland: Thank you, Dmitry. That is all the questions we had this morning. Thank you for your time and your interest in Cabot Microelectronics.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone have a great day.